Anne Sofie Veyhe: Welcome, everyone, to GN's Interim Q3 2023 Conference Call. Thank you all for dialing in. It's great to have you on the call. Participating on the call today is Group CEO, Peter Karlstromer; Group CFO, Soren Jelert; and myself, Anne Sofie Veyhe, Head of Investor Relations, Treasury and M&A. Today's presentation is expected to last about 20 minutes, after which we will turn to the Q&A session. You can find the presentation on gn.com. And with that brief introduction, I'm happy to hand over to Peter.
Peter Karlstromer: Thank you, Anne Sofie. Hello, everyone, and thanks for joining our call today. This is the first conference call we have since we announced our One-GN initiative on September 4. Since then, we have also announced our new executive leadership team, and we are making strong progress on the integration. We have been working towards this together for quite some time, and we see clear benefits on multiple levels. Most importantly, it is good for our customers and partners since the new organization help us deliver scale benefits to increase our innovation. It's also good for our people as it allows us better job opportunities, both for our own people but also for people joining GN over time. It will also create a simpler organization with less complexity, which will help us execute faster. We are mostly excited about One-GN since it will help us to innovate and grow faster, but it also has tangible cost benefits. We are today announcing DKK600 million in run rate synergies to be harvested over the coming years. Soren will get back to the details of these costs later in the presentation. And with this introduction to One-GN, let's move to Q3 and the highlights of the quarter. In GN Hearing, we continued our strong sales momentum for the fourth consecutive quarter and delivered 15% organic growth, supported by the continued strong performance of ReSound OMNIA. In GN Audio, we executed well in stabilizing markets. As a result, we delivered a sequential revenue growth of 4%. As a consequence of the difficult comparison base from last year, the organic revenue growth was negative 8%. Following the solid execution across the company, the adjusted EBITA margin ended at 11.1%, which is equal to an improvement of almost 2 percentage points compared to last quarter. Our free cash flow, excluding M&A, ended at DKK279 million and together with the proceeds from the BelAudição disposal, we managed to reduce our net debt by DKK740 million. Finally, following a solid execution during the quarter, we have narrowed our guidance across the company, which Soren also will come back to you later in this presentation. Now let's move to the performance of GN Audio and GN Hearing, starting with GN Hearing. In Q3, we delivered 15% organic revenue growth, supported by strong commercial execution in healthy hearing aid markets. The adjusted gross margin increased slightly compared to Q2, while being down approximately 3 percentage points year-over-year as a consequence of the ongoing retail disposals, including Beltone Retail and BelAudição. The adjusted EBITA margin in the core business ended at 16.4% in Q3, an improvement of 5.5 percentage points compared to last year, driven primarily by operating leverage. The EBITA in the Emerging business was negative DKK42 million in Q3, which is in line with Q1 and Q2. Let's move to Slide 8 and some more color on the regional development. In North America, we delivered 19% organic revenue growth in a strongly growing hearing aid market. We experienced strong performance across the independent market, VA and Costco compared to Q3 of last year, primarily driven by the ReSound OMNIA family. In Europe, we delivered an organic revenue growth of 4% in the quarter, with particularly strong performance in France and the U.K. In the Rest of the World region, we delivered an organic revenue growth of 18%, driven by strong growth in, among other, Japan and China, following a difficult '22 impacted by COVID-19 lockdowns. We also experienced a very strong growth from the tender in Australia, which was fully ramped up by Q2 of this year. All in all, very strong execution across regions and countries. Moving to the next slide and the launch of ReSound Nexia. During October, we started shipment of our next-generation hearing aid family, ReSound Nexia. ReSound Nexia has been launched slightly faster than our traditional one-and-a-half to two years innovation cycle, which is a testimony to the strength of our R&D teams. With Nexia, we are continuing to push the boundaries of innovation. The sound quality, including hearing in noise being built on the successful OMNIA family, is second to none. We have also significantly reduced the size of the product with 25%, which we know is important for users in their decision-making process. On top of this, we are now the first hearing aid company introducing the new Bluetooth low-energy standard. This is a game-changer for connectivity. As you're normally replacing hearing aids every five years or so, ReSound Nexia is, in our mind, the first future-proof hearing aid from a connectivity standpoint, which we believe users will appreciate. In addition, we are launching Nexia in a CROS/BiCROS system, which is the first of our kind in GN Hearing. All in all, ReSound Nexia is a culmination of many years of dedicated work and will be an important driver of our ambition for growth and to get our core margin back to 20% by next year. As for the sales ramp-up of ReSound Nexia, it's off to a good start, and we are looking forward to get the product launched around the world during the next few quarters. With these highlights of GN Hearing, let me move to GN Audio on Slide 11. Starting with the financials, while not fully recovered, our markets continued to stabilize during Q3. Thanks to good execution, we were able to drive revenue sequentially up by 4% compared to Q2. Due to the challenging comparison base from Q3 last year, where the supply chain was easing, resulting in a reduction of backlogs, the organic revenue growth in the quarter were at negative 8%. Despite the negative business mix, we managed to deliver a healthy gross margin of slightly more than 43%. Thanks to continued good cost control, we managed to deliver an adjusted EBITA margin of 11.9%, which is equal to an improvement of 2.5 percentage points compared to Q2. Moving to Slide 12 and the development of the Enterprise business. Due to focused execution during the quarter, we were able to defend our market-leading position to secure a stable revenue compared to Q2. The enterprise market continues to stabilize with another quarter of stable volumes across regions. We are cautiously optimistic that the worst is behind us, and we are encouraged with the early signs of that the broader IT equipment market is improving. We also see this trend in the PC market where several companies and analysts believe the market would gradually turn back to growth, and this is normally a lead indicator for our business. Unless the market is impacted by new material or external events, it is our ambition and belief that we will be able to turn our Enterprise business back into growth sometime in 2024. Let's move to Slide 13 for SteelSeries and Consumer. The gaming market has also stabilized throughout the year, and we're estimating the market growth to be approximately flat in the quarter. In this stabilized market, SteelSeries had continued to outperform and grew 10% organically in Q3. For Jabra Consumer business, we are seeing some of the same dynamics in the market. Following a difficult '22, the market has stabilized this year. While the organic revenue growth ended at negative 8%, the sequential growth was 21%. This solid execution was supported by good customer feedback on our two new high-end earbuds; Elite 8 and 10. In Q3, we continued to do targeted promotions to reduce our excess inventories across SteelSeries and Consumer, and this also contributed to some of the growth. The inventory reductions continue according to plan. From peak inventory, we said we plan to reduce it with around DKK1 billion. We have delivered around DKK700 million of that reduction and plan for another DKK200 million to DKK300 million in Q4. Let's move to Slide 14 to highlight some of our recent launches. During the quarter, we started shipment of some very exciting new products in audio. Our eagerly awaited PanaCast Video Bar System, which we announced at the beginning of the year, started general shipment in September. The customer feedback is strong, and the product will be an important driver for market share gains in the video market over the coming years. We will continue to complement our portfolio to ensure we have an attractive offering for customers that like to standardize on Jabra video systems. We also upgraded our consumer earbuds with 2 new premium buds, the Elite 8 and 10. The Elite 8 is the toughest earbud ever made in our mind and it's for sport and active people. Elite 10 is the most premium earbud we ever made, both already for Bluetooth low-energy. Finally, our category expansion in SteelSeries have continued with the launch of our very first dedicated streaming microphone called SteelSeries Alias, that has also done very well in the reviews. In conclusion, we are continuing to launch leading products that will continue to support our market success across categories. And with that business overview, I'm happy to hand it over to Soren for a financial update.
Soren Jelert: Thank you, Peter, and hello to all of you. Summarizing on group level, GN delivered a 0% organic revenue growth and an adjusted EBITA margin of 11.1%. The adjusted EBITA ended at DKK495 million for the quarter, which was an increase of more than 20% compared to the second quarter of '23 as a result of a very strong performance in GN Hearing and a solid execution in GN Audio on top of the ongoing cost focus. Free cash flow, excluding M&A, once again came in strong at DKK279 million, driven by the healthy earnings and a continued balance sheet focus. The strong cash flow in combination with the disposal of BelAudição resulted in the reduction in net interest rate bearing debt of DKK740 million, underpinning our strong execution of our capital plan. As mentioned, group cash flow was solid at DKK279 million in the quarter. The development was driven by an improvement in operating profits in combination with stable development in working capital. With the continued progress across the company, we do expect a positive cash flow as well in fourth quarter, which will result in a solid cash flow generation for '23 as a whole. Moving to Slide 18 and the impact of our maturity profile from the ongoing execution of the capital plan. During the quarter, we finalized the BelAudição disposal, as mentioned earlier. Moreover, we managed to finalize the loan agreements with our core banking group, essentially raising almost DKK10 billion across our new DKK6 billion term loan and the upsized RCF of almost DKK4 billion. Finally, we have also now agreed a financing plan for our headquarter building, which will generate net proceeds of around DKK500 million. With the significant progress made and the solid operational cash flow, this essentially means that all our material debt maturities are fully funded until quarter three of '26. On the right-hand side of the slide, you can see that we have a total of DKK8.7 billion in debt maturing in '23 and '24. These maturities are almost fully funded by the new undrawn term loan cash at hand and the new headquarter financing. The residual amount of roughly DKK500 million will be covered by either ongoing operational cash flow or further disposals, and we have also the buffer of the DKK4 billion undrawn revolving credit facility. As a result, we remain confident in the plan. Let's move to the Slide 19 and the impact of the One-GN announcement. As Peter mentioned in the beginning, we remain confident that our group-wide transformation efforts will lead to a stronger company with significant benefits for our customers, partners, employees and other stakeholders. It will undoubtedly also lead to significant cost synergies to be unlocked during the coming years, which will support the margin improvement across the company. We have been working towards being a fully integrated company for quite some time. And as you remember, we merged our operations team already back in the spring. Now, as a consequence of the full integration efforts, we are ready to share the financial benefits. The cost synergies amount to around DKK600 million by '26, but we expect to realize one-third of it already next year. The synergies are realized across the organization and is expected to be fairly balanced between COGS and OpEx. A part of the DKK600 million is another round of targeted FTE reductions. In the last 12 months, we have said goodbye to around 350 employees, and we now reduced by another 300. That totals more than 10% of our white-collar workforce that has been reduced now. In order to harvest the synergies, we will experience additional costs in relation to the redundancies and other process streamlining activities. In total, we are expecting additional non-recurring items of around DKK300 million in '23, of which roughly a third will have cash flow impact across '23 and '24. For '24, we are currently not expecting any non-recurring items to unlock the synergy potential. And with that overview, let's move to Slide 21 and the financial guidance. Starting with Hearing. Following the strong performance observed in quarter three, we are narrowing the organic revenue growth guidance from 9% to 13% to now 11% to 13%. This reflects a very strong performance year-to-date as well as taking into consideration the strong comparison base of quarter four of last year. We are confirming the core adjusted EBITA margin guidance to allow for further investments to drive growth, including launch activities for ReSound Nexia. As for the Emerging business, we are confirming the EBITA of minus DKK150 million. As for GN Audio, we are narrowing the organic revenue growth guidance from minus 10% to minus 4% to now being minus 9% to minus 7%. This reflects the stabilization trends that Peter mentioned earlier. Despite the appreciating U.S. dollar since August, we are confirming the adjusted EBITA margin of 10% to 12%. As a consequence of the One-GN transformation, we are now guiding for nonrecurring costs of total DKK600 million for the group in total for '23. And with this, I'm happy to hand you back to Anne Sofie.
Anne Sofie Veyhe: Thank you to Peter and Soren for the updates. And with that, I'm handing over to the operator for Q&A. As always, please limit your questions to two at a time.
Operator: [Operator Instructions] We will take our first question from Hassan Al-Wakeel with Barclays. Please go ahead.
Hassan Al-Wakeel: Hi. Good morning. Thank you for taking my question. I have two, please. Firstly, you talked about stabilization in the enterprise market. Can you walk us through some of the trends that you're seeing in the U.S. and in Europe and whether there is still some hesitancy from customers on orders? And then secondly, also on enterprise, can you talk about your preliminary views on enterprise markets into next year? Is the current base case for growth in enterprise markets for the full year next year? Just trying to understand in the context of consensus estimates of 6% organic growth next year. Thank you.
Peter Karlstromer: Thank you so much for the questions. First, on the observations, we talked before, too, that we saw some of the difficulties in the enterprises market first to come to the U.S. and then more rest of the world. At this time, I think the observations we have are probably quite similar across the world. So no major differences between regions. What we are observing was that after a period of declines in volumes, the volumes have stabilized, and we are pleased to see that Q3 compared to Q2 show another quarter of stable volumes. So that is what we can see ourselves in our business volumes. And we, of course, also talk to large customers and our channel partners covering more the mid-market. And I think we all are observing similar things here. And then as I spoke to here in the intro, of course, it's encouraging also that several analysts in the enterprise equipment market also are getting more positive on next year. And I would say the PC shipments, in particular, is something we keep a close eye on because we know that tend to be a lead indicator for us. So these are the observations forming the commentary I shared. So I guess, all in all, the way we see it is that the market is stabilizing. It's showing some kind of early signs of bottoming. And then there is still uncertainty. So exactly how this play out over the coming quarters is something we observe closely. But at this point in time, it is our main belief that the market will turn back into growth sometime in '24 and that our business should follow that. To your question, if that would be meaning full year growth for '24 or not, probably need to come back to that on the coming calls we have here, perhaps in the next quarterly call, where we have even better visibility. I think it depends on the timing of this process I'm describing here. But of course, we're hopeful that this will play out in the right way here over the coming quarters. Thank you.
Hassan Al-Wakeel: Very helpful. And if I could just follow up on the -- on Audio and whether you still expect the 20% margin in this business. And I think you've also talked about 3 to 4 percentage points of headwinds from FX. So I would love to hear the building blocks to that. Thank you.
Peter Karlstromer: Yes. Midterm, that is still clearly our ambition, the 20% in Audio. As we talked about before, when we set that ambition, FX was at a different level than it is today. So that is providing quite some headwind for us still if we compare to the time when we set the target. I think what's encouraging is, we've seen the gross margins to improve over the last few periods. And what we now need to see, a bit of a continuation of that. And then what's most important for us is to see the growth coming back and the growth then would then support operating leverage. So clearly, in the midterm. But while we've been saying very, very clear that 20% for Hearing is next year, we've been a little bit more forward-looking in the timing for the audio market. It depends a lot about the recovery, which we are talking to here.
Hassan Al-Wakeel: Perfect. Thank you.
Operator: Thank you. We'll take our next question from Veronika Dubajova with Citi. Please go ahead.
Veronika Dubajova: Hi, guys. Good morning, and thank you for taking my questions. I will keep it to two as well. My first one is just on the Nexia launch, and I appreciate we are, I think, seven weeks and if I've counted correctly, but it might be just six. But Peter, I'd love to get your thoughts on how that's tracking, if you can share any stats on how that compares to OMNIA in particular, that would be helpful. And just in general, the kind of feedback that you're hearing and picking up in the market on this, that would be great. And then I have a second question after that, but I'll let you answer this one first.
Peter Karlstromer: Thank you so much. As we have said before, we have started to launch Nexia now, and we started in the U.S. and have selectively started in a few European markets as well. So the launch will take place over the coming quarters to get to the full effect. I think the initial observations are very positive. I mean, we were down, of course, in Nurnberg at the industry conference where it was very well received there by everyone. Also, if we look on the launch events we are having and compare it to OMNIA, which was a very good launch for us also, I would say, this is equally strong, and if anything, slightly stronger. So the initial feedback is very positive.
Veronika Dubajova: That's very helpful. And then can I just ask a question about the restructuring, and I guess this is for both Peter and Soren. If you can elaborate a little bit on what is going to be different? I mean, so you've talked about some of the synergies before. So maybe help us understand how exactly One-GN is different? And then the DKK600 million of savings that you're targeting, is that a net or gross number, just if you can clarify that? Thank you.
Peter Karlstromer: Let me start here. I mean first, I should say that One-GN for us is a lot about growth and innovation. And we think that the primary benefits will be us being a stronger company and innovate even stronger over time. With that said, the cost synergies are very important also, and those are the ones we are ready to talk about today. What the new organization means is that we have divisions and then we create functions across the company. Most of these benefits are in the functions, so in the operations, R&D, HR and finance and IT. And if we look on them, if you take operations as an example, by working closer together, and this has been in the planning for a while, as you know, we now are joining forces and doing more detailed level of sourcing together and procurement together. And over time, there will be even more benefits from an alignment of the supply chain. So there is quite some of the benefits. We also have benefits in the other functions like in IT, of more standardization. We have the same in finance and HR and so on. And what we did announce today also is that we have, of course, some overlaps from bringing the two companies together. And those are overlaps, we are now in the quarter, addressing also with some limited redundancy exercises. And that will be, we said, up to 300 people, which is a combination of closing down some open positions and asking some colleagues to leave the company. So that's what we're doing in terms of direction. I mean, if I hand it to you, Soren, to more talk about the forecast there?
Soren Jelert: Yes. I think in this case, Veronika, it is so that the number we've communicated out is actually a net number. So it actually includes the cost to realize. But what I also think is important to still bear in mind is, we are committing to also that we do not see further one-off costs as we have seen in the past and that we have also now seen in '23. So in that sense, it should be a net number you should have in your head. And also bear in mind that we are committing to two-thirds of it being realized in '24 as the run rate.
Veronika Dubajova: Very clear. Thank you, guys. I'll jump back into the queue.
Operator: Thank you. We'll take our next question from Maja Pataki with Kepler. Please go ahead.
Maja Pataki: Yeah. Good morning, and thanks for taking my questions. I was wondering, how do you think about the enterprise market growth once it starts to recover? We have different drivers here, I guess. We have the structural growth that seems to be solid, but then we had quite a lot of sales and replacements that could come from the COVID period. So what are the different pushes and pulls that you anticipate once the market starts to recover? Just general thoughts would be very much appreciated. That's the first question. And then my second question, you're announcing the DKK600 million cost synergies to be realized by 2026, big chunk to come in 2024. Yet, I do understand that part of the big chunks that should come through in 2024 are linked to the 20% EBITA margin that you have communicated in 2022 already. Could you help us understand the different layers, what we should be looking out in 2024? That would be really helpful. Thank you.
Peter Karlstromer: Thank you so much. Let me start with the enterprise question and then hand it over to Soren. So let me say, our excitement and conviction for the enterprise market in terms of its long-term drivers remain very much intact. Hybrid working, the way we see it, if anything, have developed into even a stronger narrative the last few years. And the offices, most of them are remodeled to become smaller and more technology-rich as we work in different ways into the future. And the offerings we have into that way of working are very strong. So we think that the growth drivers for our market and for us as a company remain intact. I think that the process to get back to that kind of, what should we say, pre-COVID or pre-adjustment growth rates, that's what's a little bit more uncertain, and it's hard for me to speak exactly how that will play out. I shared a bit on what we see in the market now and very happy to come back here three months from now and see a little bit further what we see into next year, but that's probably as much as I can say today. But we are hopeful that the market gradually is finding itself back to the strong growth which we see structurally in the market.
Soren Jelert: And when it comes to the sort of synergy plan that we have laid out of the two-thirds coming into next year, you're absolutely right that we have set the target in core Hearing of 20%. And we've also said that the synergies we believe would come out of One-GN would support getting to that, i.e., increasing the likelihood of reaching that with core activities behind it. But of course, it will also help Audio in the longer term to get to their midterm targets with what we do. And then to the composition of it, it's evident that where we have some of the benefits and synergies is the scale we get out of the operations, and that is actually where we also see the improvement coming in, which should yield a better gross margin for the product categories going forward. In addition to that, though, there are also more OpEx-related items where we are -- it's everything by reducing complexity and working differently that will yield these synergies. And there, of course, some of the manning reductions we are doing will ease that pressure on the OpEx next year. So that's, I think, how you should look at it currently.
Maja Pataki: Okay. Thank you.
Operator: Thank you. We'll take our next question from Oliver Metzger with ODDO BHF. Please go ahead.
Oliver Metzger: Yeah, good morning. Thanks a lot for taking my questions. The first one is also about synergies on GN-One. So can you also elaborate about the technological synergies between GN Audio and GN Hearing? So some years ago, it was said that the hearing aids are a couple of years ahead of headsets' processing of sound. So is it fair to assume that from a technological perspective, the hearing aids will continue to provide more synergies for the headsets than vice versa? Second question is, you mentioned positive effects on revenue growth from the inventory reductions at SteelSeries and the Consumer business. Can you quantify that, please?
Peter Karlstromer: Thank you so much for the questions here. First, the synergies on the technology side, the details we're working through now when we are forming the One R&D organization. But I would say, they are on a few different levels. I mean, one is clearly what you're talking about more like sound processing algorithm, where we already have shared some, but we can share more. And rightfully so, like noise suppression, hearing in noise, I think, has a clear kind of overlap in terms of the technology with a good office headset and so on. So there are clearly some benefits there. But there are also benefits on standards. I think Bluetooth low-energy is a great example, where it takes quite a lot for a company to keep up with innovation of standards. And now as we're working even stronger across the company, we can do that even better in our mind. There are also some benefits together with our leading partners. If you take the leading platforms like Teams, Zoom, Google and so on, where we can do a lot of joint work together with those joint strong partners, that benefits the whole company. And then over time, I think there likely will be benefits more on components, chipsets, how we put together the products and designing them in a way where we also have some even further benefits on the supply chain and manufacturing and so on So, the benefit's on multiple levels and I think we know where we're heading directionally, but exactly how to do this and the details is what our R&D teams now are tasked with essentially finding out. So that's on the tech synergies. Then if we look on the inventory, yes -- no, I think it's fair to assume it's contributing to growth. It is a bit hard to know exactly how much it is. Most of the inventory reductions has been on SteelSeries. And I think in some quarters, we have talked to that maybe half of the growth is due to targeted promotions on the inventories. I think, though, that has fluctuated a bit between periods and quarters. But I will say a few points certainly, I mean, it contributes, but I would also like to highlight that the new portfolio we have on SteelSeries is very well performing in the market. And the products are very well appreciated. So we feel very confident in growth beyond the inventory reductions also.
Oliver Metzger: Okay, great. Thank you.
Operator: Thank you. We'll take our next question from Christian Ryom with Danske Bank. Please go ahead.
Christian Ryom: Yes, good morning. A couple of questions from me as well. Actually, the first one following up on this discussion about inventory reductions; the SteelSeries and the associated promotional activity. So as we previously understood that this high level of promotions is driving some gross margin dilution in GN Audio, how close are we to the end of that effect? Will that continue through Q4? Will it also continue into next year? What's the time line for that? It's my first question. And then the second question is a more high-level one on the process or the One-GN structure and strategy, if you will. So should we think about these synergies that you've now communicated as basically being what you believe can be obtained from the structure here for the near to medium term? Or should we -- or are you still scoping out opportunities and should we expect that there would be more to come maybe some time in '24? Any comments on that would be helpful. Thank you.
Soren Jelert: Yes. I think it's a question on the gross margin on SteelSeries and absolutely, there has, of course, a consequence when you have to deplete your inventories and that we have also communicated on earlier. And we also expect, as part of the fourth quarter, where we also said that the majority of at least the second half year of the inventory depletion will come in SteelSeries, that it's likely to have a consequence on that. And then whether there is a tail into or still inventories that we need to optimize in '24, let's get to that when we get to '24. But for '23, yes, it has had an impact on the gross margin. And of course, we do not expect to have the same inventory depletion hurdle next year as a total in the company. So in that sense, there is a positive aspect going forward. When you look to the One-GN, I think it's always in Peter's and my focus to see if we can do more, of course. But this is now the plan we commit to, which we think is realistic and ambitious and it will also be pulled in near term with two-thirds coming already in '24. Of course, we're always on the outlook for more optimization, but taking it step by step with now two-thirds in '24.
Christian Ryom: Okay, great. Thank you very much.
Operator: Thank you. We will take our next question from Hugo Solvet with BNP Paribas. Please go ahead.
Hugo Solvet: Hi, hello. Thanks for taking my questions. I have two. First, on Nexia, thank you for showing some initial feedback. Just wondering if you see product life cycle shortening to one year going forward? Or is it [indiscernible] after and that was more of a one-off? Second, on the savings, in the scenario that you wouldn't reach 18% EBITA margin for the core Hearing business next year, what would be the time frame for you to reach that 20%? Are we talking about 2025, 2026, 2027? Just wondering what we should think about phasing here. And in terms of phasing in 2024, could you give us some more details on the DKK400 million impact? Thank you.
Peter Karlstromer: Thank you so much. First on Nexia, we are very pleased to be able to launch that at slightly sooner time than the normal life cycle. In terms of life cycles going forward, I think you should more expect the around two-year life cycles going forward. So we're not changing that in terms of how we think about it.
Soren Jelert: And coming to the savings, right, here, evidently, we are still striving for the 20% on the core so that we would not change. And then when it comes to the DKK400 million, I think I already shared some of the points where it comes from, it will come across our business units, and it will be a good blend of COGS and OpEx. But for sure, as some of it is linked to operational scale, it's, of course, definitely solidifying the fact that it will be COGS and not only led by reduction in people costs, which are then put down to the OpEx more. That's how much I can share currently on that one.
Hugo Solvet: No. Sorry, what's more around, like, phasing in Q1, Q2, Q3 and Q4?
Soren Jelert: No, that's -- no, we wouldn't comment on that now.
Operator: We will take our next question from Martin Brenoe with Nordea. Please go ahead.
Martin Brenoe: Thank you very much for taking my questions. I have two, if I may. The first one is just to understand the time lag between the actual one-off costs that you have to these synergies. You have DKK300 million this year, but you actually harvest the synergies next year. How does that actually make sense? How can you have upfront investments into this but no impact on that? And then just to understand your comment, so I get it a 100% clear. On the DKK400 million that you expect in synergies next year is the net impact. So, does that mean that we should put that on top of our adjusted EBITA for 2023? Or is that the net impact after we deduct this DKK300 million of one-off costs that you have this year related to the synergies? That would be helpful. And then maybe just my second question would be to the DKK500 million in residuals that you need to find somewhere. If you don't have positive growth in 2024 in Audio, it might become a little bit more difficult for you to find the money. You talked about more divestments. Could you comment further if you have any more flavor on what you mean and what do you see on that? Is that more relevant now compared to where you were three months ago?
Soren Jelert: I think essentially, in terms of, again, clearness on the DKK400 million is a net impact. So that's the savings we anticipated to yield next year. And what we've also said is that it will be supporting the 20% margin, whether it's then within or on top of whatever is consensus. But in our mind, it supports us getting to the 20% margin core on Hearing and improved margins in the Audio business, for sure. I hope that clarifies that part. And then, when it comes to the DKK500 million, I trust that is linked to the cash flow that we need to generate in the event that we have to honor our commitments. Bear in mind here that we have the RCF always as a backing for the cash flow. We definitely intend to yield a positive cash flow. In the event that, that is unclear and/or not met, we have a number of activities in divestments and that's [back to] (ph) the old DKK1 billion to DKK2 billion of which we have now put name on the DKK1 billion. So, what we also said is, and that's exactly the position we're in now, and we want -- would not like to get in a position where we need to do fire sale on any of these non-strategic – non-core assets. But we would, of course, look for if we can get the right price at the right time. And this is exactly the position we are in now. And that also states that then we might not have to sell anything if the operating cash flow is yielding it as we should. And then again, we still have a cushion on the RCF that can support it. So in that sense, I think we have a very clear plan that can honor our commitments in '23 and '24 with the capital plan we have in place, and we have definitely also delivered on the milestones so far with the banking package and also the two sales now. That would be my response.
Martin Brenoe: Thank you. Very clear on the second question. On the first question, I just want to be -- sorry for being a bit thick headed here, but I just want to be completely sure. The DKK400 million next year is the net impact, but that comes on top of the DKK300 million negative impact this year, right? So we should expect DKK100 million net impact over the two-year period. Is that correct?
Soren Jelert: I mean, of course, it depends on how we look at it, right? We now take an additional one-off cost this year of DKK300 million. And then we have a continued positive run rate next year isolated of DKK400 million. That isolated DKK400 million will grow towards DKK600 million once you're out in '26. I think that's the way you should look at it. And then essentially back to also what I spoke to earlier that out of this DKK300 million we are taking out this year, approximately a third is cash flow. The rest is more on the balance. Hence, it's optimizing or respecting the system landscape we had and other process optimizations we have decided to do. So at least that should give you some comfort on how it materializes.
Martin Brenoe: That's very helpful. Thank you so much for answering my questions.
Operator: Thank you. We'll take our next question from Mattias Häggblom. Please go ahead.
Mattias Häggblom: Yeah, thanks for taking my question. Mattias Häggblom, Handelsbanken. I have two questions, please. So firstly, coming back to the midterm margin target of 20%-plus for GN Audio. I can't recall what the exact definition of midterm is. So I guess the question is asked in light of consensus not being even close to 20% for 2026. So if 2026 is not midterm, what does midterm mean? And then secondly, how should we think about the working capital release for Q4 and capital generation in the quarter? Anything to keep in mind in relation to the historical patterns? We've gone through some difficult times with the pandemic and component shortages. But if I look at 2019 as a clean year, Q4 was not the strongest cash flow quarter, while still positive. And now the group structure has changed with the inclusion of SteelSeries with different seasonality. So anything you can help me think about that would be appreciated. Thanks so much.
Peter Karlstromer: Thank you. When it comes to the GN Audio midterm targets of 20% margin, we have not set an exact date. I think that the way to think about it more, the markets need to return to the kind of structural growth rates, which I spoke to about a bit earlier. And that growth will drive a lot of the margin improvement versus where we are today. We also have some FX pressure since we gave that kind of midterm target. We're, of course, hopeful that the FX also will normalize in some shape and form, but we're, of course, doing whatever we can on all levers to get what we think is the right margin for the business.
Soren Jelert: And when it comes to the cash flow, I think Peter spoke to it also that we are anticipating that our inventories will be optimized by DKK200 million to DKK300 million linked to SteelSeries in the fourth quarter. And then essentially, also, we are expecting and there's a normal seasonality in the receivables and when it exactly ends up in the quarter. But also here, we had a fairly high receivables coming out of third quarter where they should actually give some support to the positive cash flow netting out will actually be positive for the fourth quarter, especially taking the inventory reductions into consideration. So I think that, that would support that claim.
Mattias Häggblom: Thanks so much.
Operator: Thank you. We'll take our next question from Susannah Ludwig with Bernstein. Please go ahead.
Susannah Ludwig: Good morning, guys, and thanks for taking my questions. I have two, please. First on Audio, we've seen more PC players interested in the enterprise headset space. So HP obviously bought Poly. Dell noted at their recent Investor Day that they're looking to push more into the peripheral space and Lenovo is partnering with Demant EPOS. How do you guys see these changing dynamics impacting competition in the midterm? And in particular, do you expect to see more bundling when it comes to pricing? And then, I guess, just second on Hearing. Could you talk a little bit about competitive dynamics during the quarter? You delivered another quarter of 15% organic growth, but the underlying market was much stronger in Q3 than Q2, particularly in the U.S. where you have a large exposure. Have you noticed any change in the competitive dynamics?
Peter Karlstromer: Thank you so much. Starting with the Audio and the PC players and peripherals, we are, of course, noting this also. And as you said, this has been a movement for some time. What we have observed so far is that most of the change in behavior, so to say, is for the top accounts, the very large customers, where there is some bundling, of course, attempts by the players having the integrated offering between PCs and headsets. Until today, we have been able to defend ourselves quite well and actually also been winning tenders against that kind of competition also. So we've always been having competition, and this is a bit of a change in competition. We still believe we are able to be competitive from innovation, a very leading portfolio. I think it's worth also to note is that our exposure is very broad into the market. So besides these top accounts, where I think you see most of this, we have a very broad exposure into the market also into the mid-market and the channels and so where we see less of impact from this development. So in summary, it's something we pay a lot of attention to until today. We don't think it's changed our ability to compete well. In terms of the competitive dynamics -- sorry?
Susannah Ludwig: Can I just ask a quick follow-up before you go to Hearing? What percentage of your sales would you say come from those top accounts?
Peter Karlstromer: We have not disclosed our numbers in that way, but we have high market shares globally for our categories. So I think we have a quite normal kind of penetration across the different customer types. So that's the way I would think about it.
Susannah Ludwig: Okay, thanks.
Peter Karlstromer: Then in terms of competitive dynamics, this is something, of course, that is always in the market. We believe that we are doing very well, and we believe we're gaining market shares and have done so in several quarters and believe we have done that also here in the Q3 we are reporting. I mean obviously, different players are launching new offerings at different times, that is having some impact. And we, of course, take notice also of what our competitors are reporting. And we see some competitors doing very well also in the market. We don't think it changed in a dramatic way in Q3 versus Q2. We're just pleased, we are one of the players gaining share at this point in time.
Susannah Ludwig: Great, thanks. That's helpful.
Operator: Thank you. We'll take our next question from David Adlington with JPMorgan. Please go ahead.
David Adlington: Hey, guys. Thanks for the questions. Just on Audio, you mentioned that you're seeing a stabilization in volumes. I just wondered if you could talk both to pricing and the mix environment currently in Audio and the outlook into next year? And then on gaming, I just wondered if you're seeing any more of your competitors leaving the market in addition to Demant.
Peter Karlstromer: So on Audio, yes, I mean I spoke to the market observations. I think what we are seeing in terms of price bands and so is that the last few quarters, there's been a bit stronger growth in the low end of the market than in the higher end of the market, which is not optimal to us. I mean our portfolio, I will say, is stretching into the low end of the market, but our real strength is in the mid to high end of the market. We also think that this is quite normal to see in the market we are. And as the market recovers, what we have observed in the past is that those more mid- to high-end price bands are then starting to perform better and again, outperforming the market. So that is the dynamics playing out. So what we're observing, we think, is quite normal, and we are pleased to be able to defend and compete well in this environment. And as the market improves, that should create, I mean, a better environment for us. In terms of price pressure, I think that the pressure is more that it's the lower end of the market growing faster too much. I don't think there is a different discounting behavior or anything like that, certainly not from our side. We did increase actually prices on our products with around 10% in the beginning of the year. And that is something which we kept to throughout the year. Of course, occasionally, when it's very large deals, we will compete and sometimes do something as a one-off basis, but that is nothing that should drive the general pricing from our side. So that's what we observed.
David Adlington: And thoughts on the gaming market in terms of competitors exiting?
Peter Karlstromer: Yes. Absolutely. On the gaming market, I believe that we are one of the top three players in the market and depending on category. The key categories for us are headsets, keyboards and mice. And there the markets, they are fairly consolidated and then with a longer tail of smaller players. We have been growing share nicely, I would say, across all categories. We do observe that, in particular, some of the smaller players have been having a difficult time. I'm not sure what I can say on the future exits of players, but it's certainly some pressure on the smaller part of the market, smaller players, and there is some level of consolidation going on in the gaming industry.
David Adlington: That's helpful. Thank you.
Operator: Thank you. We'll take our next question from Robert Davies with Morgan Stanley. Please go ahead.
Robert Davies: Thanks. Most of mine have been covered, but maybe just a couple of follow-ups. One was just on, I guess, the synergies and the savings. Just what's the risk of any slippage from '24 into the following year? I'm just trying to get a sense of, is there any sort of specific large kind of segments or pieces to that, that are kind of coming in the second half of the year? And just wanted to kind of get a sense of risk that anything there slips into the following year. And then the second one was just around your expectations around bringing leverage down further. If you could just kind of walk us through the trajectory there between disposals, underlying cash generation, et cetera, et cetera? Thank you.
Soren Jelert: Yes. So on the last thing on deleveraging, what I've said and what we strive for is, of course, long-term to get the company to 2.0 in the leveraging. And currently, that is also what we're working towards. We haven't exactly said what year we're going to cross that line. But evidently, the capital plan is anchored to that we are incentivized, which there normally are these capital plans to delever, and we fully are committed to that. And also, we should expect, as we see the positive cash flow coming in, that we will become -- or we will delever. So of course, once we come to the annual accounts and give the outlook for next year, of course, you will get a little bit more appetite to how much that could then yield potentially at least for 2024. But overall, this is our long-term target, at least to get to the 2.0. And I think we want to get to the 2.0 and of course, we're incentivized to do so. So that will be on the deleveraging. And then you had a question on the risk of slippage on the DKK400 million. We have a good plan behind what we have now communicated and we have a firm belief that, that is achievable. A minor part of it is, of course, linked to the redundancy. So that should be fairly safe play. And when it comes to the -- that operations, will also be part of yielding this positive return. Bear in mind that they have been working with this since the spring. And now we are starting to see it come together with the way we optimize operations, being it processes or being it commitments with [sub-suppliers] (ph). So in many ways, I think two of the, at least larger categories in that field, we think we have a fairly good grip around.
Robert Davies: That's helpful. Thank you.
Operator: We'll go next to [Daniel Jelovcan] (ph) with Stifel. Please go ahead.
Unidentified Analyst: Yeah, hello. Also from my side, two questions for the GN Hearing business. What's puzzling me a bit was your slowdown in Europe to 4%, less than 5% in the second quarter despite the fact that the base was significantly lower. And you mentioned that you had a strong French and U.K. market. So just a bit more color on that would be very helpful. That's the first question.
Peter Karlstromer: Okay. No, I think that's, of course, the observation that we're growing fast in the U.S. and what we're doing in Europe. The way we see the European market is that it's more been flat to small growth in the quarter. So as such, we believe still we're outgrowing the market. So I'm not sure how much more I can say. And we feel good about our European business. We feel good about our position over time, but of course, share your observation that this is a slower growth part of our business this quarter.
Unidentified Analyst: And just on that, I mean that also implies that other big countries, Germany must have been weak. I mean, otherwise, you -- when you mentioned strong France and U.K., is that a fair point?
Peter Karlstromer: I think it depends also on the -- yes, I mean, every market has been slightly different. And in terms of the German market, we did relatively well there also. What I would say, though, also is that when we look on the different markets, some of the market growth and some of what we observe sometimes is in larger tenders. And sometimes, we see a boost from those tenders and sometimes a little bit less of effect. We do not think we have had any kind of negative development of our business in the quarter.
Unidentified Analyst: Okay. And the second question, for North America, this 19% growth, is it fair to say that the growth in Costco was substantially better than, I guess, your independent channels? That's a fair assumption?
Peter Karlstromer: I'm sorry, I didn't fully understand the question. Can you repeat the question?
Unidentified Analyst: Just in North America, you mentioned VA, Costco and independents in North America. I guess, this 19% growth in North America you have was primarily driven by Costco. Is that a fair assumption?
Peter Karlstromer: Absolutely. No, Costco is still contributing very well to our growth. And so that's certainly the case. And I mean, if you compare to a year ago, we're doing more with Costco in this quarter. So absolutely yes.
Unidentified Analyst: Okay. Thanks so much.
Operator: Thank you. We will take a follow-up from Veronika Dubajova with Citi. Please go ahead.
Veronika Dubajova: Hi, guys, thank you for squeezing me. I have two actually. One is just, Soren, curious if you can talk to gross margin expectations. I guess it's a two-parter. One, as we think about the fourth quarter, obviously, slightly unusual seasonality this year. I wonder if you can comment on gross margin in Audio and Hearing and your expectations there. And then as we move into 2024, just curious where you'd expect the gross margins to shake out in both of the businesses. Obviously, we've had quite a lot of change, inherently gone from the high-60%s to low-60%s, the business mix has changed. And likewise, for Audio, given all the changes. And then apologies, I just want to make sure we've all understood what we mean by gross synergies. I wanted to clarify the DKK400 million savings that you're looking at, is that against the current run rate of OpEx and COGS that's adjusted or the current run rate of reported OpEx and COGS? I just want to be clear on that. Thank you.
Peter Karlstromer: Thank you so much. I mean if I start with gross margins and the evolution for Audio, I mean if we start with that, I think it's been a year where we've seen some improvement of the underlying gross margins per business, and that has helped us for each of the business. And then I mean Enterprise, Consumer, SteelSeries and so on. What is happening towards the end of the year is, of course, that the consumer-related businesses usually have very large Q4s, and that is putting a bit of pressure on the gross margin blended since the business mix provides a bit of a headwind as it does for us every year. So I think that's probably as much as I can say here. If we look on the Hearing side, we actually, I mean, do not expect any significant different development towards Q4 than what we've seen here in the beginning of the -- I mean, in Q3, so to say.
Veronika Dubajova: For 2024, Peter?
Peter Karlstromer: Yes. Sorry, Veronika, for 2024, I need to come back to that as we're guiding 2024. So we'll probably pass that one.
Veronika Dubajova: Okay. Got it. Sorry. And Soren, go ahead.
Soren Jelert: Yes. No, Veronika, I'm a little bit debating. So the underlying question, could you sort of point us to what the unclarity is just to make sure that I sort of fully understand what I'm supposed to answer basically?
Veronika Dubajova: Yes, what I think I am trying to understand is the DKK400 million of savings that you are looking to deliver next year, that's obviously against the cost base this year. But I think at least I'm a little bit confused about whether it's against the cost base that includes the DKK300 million charge or the cost base that doesn't include the DKK300 million charge. And I think I've clearly misunderstood this, but I just want to make sure we're all on the same page.
Soren Jelert: At least now I hope -- I mean, it's like the DKK300-additional-million, right, they will not reoccur next year. So basically, you should clean this year for the one-off items we have. Then you have that base. And then it's on that base basis, you see the DKK400 million.
Veronika Dubajova: Perfect. So it's off of the base that excludes the cost to deliver, right?
Soren Jelert: Yes. Sorry for being unclear on this one.
Veronika Dubajova: Excellent. No. I think we've all danced around it, and I think gross to net confused everybody, and I didn't ask my question well enough in the first time. So that's very clear. Thank you.
Operator: Thank you. And now we will again take a follow-up from Maja Pataki with Kepler. Please go ahead.
Maja Pataki: Yes. Just a quick follow-up question. If we look at the Hearing business, the Emerging business saw quite a significant slowdown in growth. Is there anything to call out? Have you changed anything from a strategic point of view? Or is it just that the business is coming to a certain level of maturity?
Soren Jelert: Sorry, is the question related to JabraEnhance.com?
Maja Pataki: Emerging -- yes, exactly.
Soren Jelert: Okay. And actually, in our mind, we have catered for that channel ever since the, of course, the new legislation OTC was in place, and we have seen the top line grow and it's actually continuing to grow. Year-to-date, it's up 37% and was high double digits or sort of between 10% and 20% for the quarter alone. And it actually follows our plan, but it's also fair that we are not yielding a profit on it yet and that we are still intending to move towards end of '25, beginning of '26, but we are following the plan there on the JabraEnhance.com.
Maja Pataki: Okay. Thank you.
Operator: Thank you. There are no further questions at this time. I'll turn the call back over to Anne Sofie Veyhe for closing remarks.
Anne Sofie Veyhe: Thank you, operator, and thank you to everyone on the call. We appreciate your time today, and we will see you on the road. Thank you very much.